Operator: Good day, and welcome to the Franklin Street Properties Corp. Fourth Quarter 2014 Results Conference Call and Webcast. All participants will be in listen-only mode. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Mr. Scott Carter, General Counsel. Please go ahead.
Scott Carter : Good morning, and welcome to the Franklin Street Properties fourth quarter 2014 earnings call. With me this morning are George Carter, our Chief Executive Officer; John Demeritt, our Chief Financial Officer; Jeffrey Carter, our Chief Investment Officer, Janet Notopoulos, President of FSP Property Management and Toby Daley, Vice President and Regional Director. Before I turn the call over to John Demeritt, I must read the following statement. Please note that various remarks that we may make about future expectations, plans and prospects for the company may constitute forward-looking statements for purposes of the Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by these forward-looking statements as a result of various important factors, including those discussed in the Risk Factors section of our Annual Report on Form 10-K for the year ended December 31, 2014, which is on file with the SEC. In addition, these forward-looking statements represent the company’s expectations only as of today, February 18, 2015. While the company may elect to update these forward-looking statements, it specifically disclaims any obligation to do so. Any forward-looking statements should not be relied upon as representing the company’s estimates or views as of any date subsequent to today. At times during this call, we may refer to Funds from Operations or FFO. A reconciliation of FFO to GAAP net income is contained in yesterday’s press release, which is available in the Investor Relations section of our website at www.franklinstreetproperties.com. I’ll now turn the call over to John Demeritt. John?
John Demeritt : Thank you, Scott, and good morning, everyone. Welcome to our fourth quarter 2014 earnings call. On today’s call, I’ll begin with a brief summary of our quarterly results, our financing updates and I’ll cover some other topics and then after my remarks, our CEO, George Carter, will discuss the quarter in more detail and provide an update on our operations and overall strategy as we look ahead to 2015. As a reminder, our comments today will refer to the earnings release, supplemental package and 10-K, all of which were filed yesterday and, as Scott just mentioned can be found on our website at www.franklinstreetproperties.com. For the fourth quarter, we reported a decrease in funds from operations or FFO of about $1.7 million year-over-year to $27.5 million for the fourth quarter. The decreases was primarily from lower property income as a result of a decrease in our average space lased during the fourth quarter of 2014 which was 93% compared to 94% in the fourth quarter of 2013. We also had higher personnel expenses and IT costs in the fourth quarter. These costs increased some as a result of the growth of our portfolio from acquisitions made in 2013 and to have this infrastructure in place for the future. The impact of these decreases was partially offset by a lower interest cost for Q4 and our FFO per share was $0.27 for the quarter compared to $0.29 for Q4 of 2013 as a result. For full year 2014, FFO was $1.12 representing an increase of about 4.7% of our results in 2013 and was primarily driven by higher property income from both acquisitions I mentioned that we had made during 2013 at different points during the year. We had those properties for the full year of 2014 so that was the reason for the increase. This increase was partially offset by higher personnel expenses and IT costs as was the case with the fourth quarter and we also had higher interest cost comparing the two full years and the reason for that is that in August 2013, we did a seven year term loan that’s at a higher rate than our floating rate debt with outstanding for the full year of 2014 where it was only outstanding for the past four months of last year - of 2013. These results were inline with the guidance we provided to you for the year. Turning to our balance sheet and current financial position at December 31, 2014, we had approximately $888 million in debt outstanding all that unsecured and our total market cap was $2.1 billion. From a liquidity standpoint, we had cash of about $7.5 million and have $232 million remaining available on our $500 million line of credit, which gives us about $240 million worth of liquidity at year end, which is up about $26 million compared to our position at December 31, 2013. This increased availability will help support our capital needs and growth strategy as we look ahead. We remain comfortable with our leverage and our debt-to-total market cap ratio was 41.9% at the end of the fourth quarter, and our debt service coverage ratio was about five times for the fourth quarter and for the year. Our debt-to-adjusted EBITDA ratio was 6.7. We remain an unsecured rated borrower and about 77% of our outstanding debt is not affected by changing interest rates. Given that we are currently in the process of executing an asset recycling program, we believe this balance sheet strategy provides maximum flexibility to opportunistically allow us to sell assets and reinvest proceeds to grow our portfolio. I’d like to note that as of December 31, 2014, we modified our definition of AFFO. Our portfolio has become more of a value-add when you look at our last five acquisitions. These are larger more multi-tenant buildings and CBDs compared to some of the older properties we have that were smaller more suburban and less of a value-add. We evaluated how we underwrite an acquisition, how we spend capital and also look to have some of the author streets define AFFO, there is a comparison of the new and old definitions on page 29 and 30 of the supplemental filing from last night you can look at. We show in the various pockets which we put second-generation TIs, leasing commission and non-investment capital when calculating FFO and we exclude first generation leasing class and investment capital from AFFO like the other REITs do. We disclose the five capital expense pockets on Page 23 of the supplemental for you, so that you can see it all there too. We think this makes sense for us and it’s more comparable to other REITs. The change resulted in higher reported AFFO Franklin Street of about a penny per share per quarter for both 2014 and 2013. Of note the dividend was covered under either definition this year anyway. Our year-over-year growth rate on AFFO decreased a little as a result of change comparing 2014 to 2013. And as I said, we think the new method makes more sense. Before I turn the call over to George, I’d like to note that we are introducing guidance for 2015 with FFO in the range of $1.3 to $1.8 per share. This guidance takes into our current our recent disposition and non-payoff activity and as a reminder, our guidance excludes the impact of future acquisitions, dispositions, and capital market transactions, except to those that we’ve already announced. With that, I’ll turn the call over to George. George?
George Carter: Thank you, John. Good morning everyone and thank you for taking the time to listen to Franklin Street Properties’ fourth quarter and full year 2014 earnings call. My prepared remarks today will follow my written commentary in yesterday’s earning press release. After my comments and others from FSP executives present at this call, we will open the call for questions. As John said, for the fourth quarter of 2014, FSP's funds from operations, or FFO, totaled approximately $27.5 million or $0.27 per share. For the full year 2014, FSP's FFO totaled approximately $112.5 million or $1.12 per share, which a 4.7% increase per share over full year 2013. FSP has grown its per share FFO over 33% during the last four years. Our directly-owned real estate portfolio of 38 properties, totaling approximately 9.6 million square feet, was approximately 92.8% leased as of December 31, 2014, and our comparative same-store growth totaled approximately 2.2% for the full year 2014. During the fourth quarter of 2014, we completed the disposition of our Centennial property located in Colorado Springs, Colorado for approximately $15,500,000. Centennial is a 110,405 square foot single story flex suburban office property that has been owned by FSP or an FSP affiliate for over 14 years. It was our only property in Colorado Springs. Currently, we are considering disposition of several other of our suburban office assets that we believe are no longer core to our long-term strategy and Jeff will talk about those in a few minutes. Also, in the fourth quarter, a single asset REIT affiliate of FSP, FSP Highland Place I Corp. or Highland completed the sale of its suburban office property located in the greater Denver, Colorado area. We had an outstanding loan with Highland, this is one of our single-asset REITs totaling about $3,395,000, and which was secured by a first mortgage on that property and loan was repaid in full. We acquired no additional office properties in 2014 primarily because market pricing metrics on properties we were interested in were too elevated to conform to our underwriting criteria. However, as 2015 begins, we are actively pursuing a number of new property acquisition opportunities within our primary markets; again Jeff will give more color on this in a moment. We anticipate additional property acquisitions this year and we are also very busy trying to finalize some potential anchor tenants and leases for our anticipated 2016 development effort in downtown Minneapolis, Minnesota at 801 Marquette Avenue South and again, Jeff will talk about this. As we began 2015, as John said, we are again giving full year FFO guidance for 2015. Last year 2014 was our first year of guidance ever and our guidance at this time last year was $1.8 to $1.12 about a $0.04 spread on FFO for 2014 guidance. And again I want to reiterate our guidance really completely excludes any acquisitions, dispositions, debt financing or other capital market transactions. So when you look back at 2014, you really saw in our FFO performance sort of a static run rate of our in-place property portfolio. And after a very busy 2013, we really in 2014 had no acquisitions or new development and no big dispositions. We did actually disposed of about $32 million of revenue producing assets during the course of 2014, again, very small and came in sort of three main pieces, the Centennial project Colorado Springs for $15.5 million I just talked about and Highland place loan repayment of $3.4 million I just talked about. Also really earlier in the year, another single asset REIT Galleria was sold and our $14 million loan there was repaid. So about, $32 million of revenue producing assets were disposed in 2014 and to-date we’ve only reinvested about $11 million of that and that has been redeployed primarily into some of our sponsored REIT lines of credit loans et cetera. So about $21 million is not yet been reinvested of the proceeds that we received from those dispositions or loan repayments. So, even with the relatively – or even with a just small transactional activity, we did really sort of have a static run rate and we were able to come in the range of our original guidance in 2014 when we did during 2014 was simply tightened that initial guidance range as the year went along good news from bottom to the top. As we look at 2015, and which is our second year of guidance, we are talking about $1.3 to $1.8 per $0.05 range in FFO guidance and again, just to reiterate that’s a static run rate just like 2014 was at the start. And you will notice that drop in FFO from 2014 to 2015 that drop in FFO guidance is primarily from existing vacancy that we know of and planned for and certain leasing velocity assumptions surrounding that, Janet will talk a little bit about that in a moment. It is also from disposition proceeds which I just mentioned that we did get along with payment proceeds in 2014 which are not yet reinvested. We’ve put in some assumptions for some higher interest rate costs in 2015 on our outstanding revolving line of credit and as John mentioned, as our portfolio has grown larger, we have upped G&A cost and certain IT cost and so on to handle that increased portfolio and again to position for the future. There was one thing that I wanted to make sure that the investors in markets understood is that, while 2014 was sort of non-identical in terms of transactions in a fairly static run rate scenario, we do not anticipate that in 2015. We expect more dispositions and acquisitions in 2015 and of course, there is always the possibility of capital market activity if growth opportunities we see warrant it and obviously if the capital markets were in line. We would expect in 2015 to adjust our guidance ranges when and if transactional events occur and those guidance ranges will definitely move either up or down based upon transactional activity and we will do that as soon as we get a handle on what transactions are incomplete and what effect it would have on guidance. The other point I want to mark up to understand is that our company is in a process, a continuing process of really transforming our property portfolio from a mostly – at least originally acquired stabilized suburban office asset portfolio in numerous markets to a value-add urban infill CBD office asset portfolio primarily within our five core markets of Atlanta, Houston, Dallas, Denver, and Minneapolis. Our move which will be on ending to complete this transformation of the portfolio to reposition our portfolio is as I mentioned before on numerous occasions is surrounding our view of the US economy’s future, which we believe is going to be quite different from half cycles. We strongly believe that the US economy is in a very long slow growth up cycle and we are still in the relatively early innings of that long slow growth up cycle. And we think it will be longer and slower than most typical real estate cycles that we’ve seen in the past and consequently, positioning our portfolio’s properties in more long lived assets that are positioned in our five core markets where we believe there are very strong long-term macro growth drivers of employment and where we believe the in-place infrastructure surrounding these assets that we are acquiring and in-place infrastructure including transportation, housing, shopping, entertainment, all the things that go into infrastructure is really a way to position for this long slow growth up cycle. And as I said, we will continue that effort in 2015 and in the coming years. With that let me turn it over to Jeff Carter, our Chief Investment Officer to talk to you about some dispositions, acquisitions and development. Jeff?
Jeffrey Carter: Thanks, George. I am going to walk through FSP’s current investment activities. I’ll start with dispositions, then move to acquisitions and conclude with development. As far as dispositions are occurring, FSP is actively engaged in disposition efforts at this time in several of our non-core assets. FSP had indicated the potential for dispositions of non-core assets of up to $150 million to $200 million and as reported in our fourth quarter filings and as George just mentioned, on December 3, 2014, FSP sold Centennial Technology Center in Colorado Springs for $15.5 million at an approximate 7.6 cap rate. Colorado Springs represents a non-core market in a non-core single-story flex product to FSP and it was originally acquired back in 2000. In addition to the $15.5 million Centennial Technology Center sale, FSP currently has three further properties under purchase and sale agreement at this time that reflect an aggregate purchase sales price of just about $80 million at an average cap rate of 6.75%. If successfully closed, these would then reflect total dispositions of approximately $95 million including Centennial Technology Center. More specifically, Willow Bend Office Center in Plano, Texas is one of these three further assets under contract and as referenced, as a subsequent event in our just released 10-K, FSP had entered into a purchase contract for this property in January of this year and on February 6 of this year, the deposit for this transaction of approximately $300,000 was non-refundable and we expect to close during the first quarter of this year subject and conditioned upon customary closing conditions. The sales price equals twenty million seven fifty and reelects an approximate 6.7 cap rate. Willow Bend is a non-core asset. It is a two storey Class A minus property originally acquired back in 2000, but it is in a core market to FSP in the greater Dallas Metroplex and our desire is to reinvest into more urban infill Class A Dallas properties as we remain highly committed to the Dallas market and are underwriting several potential replacement assets at this time. The two other assets referenced that are under purchase and sale agreement in addition to Willow Bend are within their respective inspection periods and therefore remains subject to due diligence completion and normal closing conditions and so will not be discussed in further detail at this time. FSP currently has several other assets in the marketplace seeking out price discovery which in aggregate could further represent up to approximately $145 million in additional dispositions, whether or not any or all come to pass will remain to be seen over the coming months. As George also mentioned, FSP received a mortgage repayment sponsored single-asset REITs in Centennial Colorado that returned mortgage loan proceeds of approximately $3.4 million to FSP which loan has been at a 4.55% interest rate. Moving on to acquisitions, after a quiet 2014, FSP expects to complete acquisitions in 2015. We are internally targeting between $150 million and $300 million in acquisitions during 2015 which is not as George mentioned in our FFO guidance. FSP is actively working on several specific opportunities at this time that we believe could contribute meaningfully to our future growth and profitability. We will keep the market appraised of any specifics when and if appropriate to do so. We continue to seek urban infill and CBB office assets in the strongest and amenity rich locations within our five core markets of Atlanta, Dallas, Denver, Houston and Minneapolis. We favor below replacement cost assets that have a range of opportunities for value creation associated with them. These include assets with significant vacancy as well as more stabilized assets that have below market rents in place and the ability to create value in the near and intermediate term. As indicated in our prior quarterly conference call, investment pipeline updates, FSP has been actively seeking out opportunities, but in several instances, market pricing was too elevated for our comfort and did not conform with our underwriting criteria. Our underwriting criteria is truly dependent upon the nature of the investment and question with variance between larger value-add and more stabilized assets. We continue to have a very healthy acquisition pipeline at about $720 million currently with about half of that being off-market and unless the deals. The majority of our most promising acquisition prospects and underwriting at this time are in the Atlanta and Dallas markets with nothing being underwritten currently in Houston as that investment market is frozen up at this time. Moving on to development in our 801 Marquette Avenue South Side, as opposed to our adjacent tower at 121 South 8th Street. At 801 Marquette Avenue South, we are currently contemplating two development scenarios, one an office-only development and two a larger mixed use development that would contain or could contain, hotel, office, and residential components or some combination thereof. FSP reports growing interest in the site at this time. The interest is coming from prospective office customers; our leasing team from CB Richard Ellis is tracking approximately 1.9 million square feet of active office prospects in the market that could be a potential fit for the new development at our site. Interest is also coming from prospective and premier hotel groups. FSP has through CB Richard Ellis been engaged in active discussions with hotel groups, interested in 250 to 300 rooms four star full-service hotels on our site. Interest is also coming from prospective and premier residential groups, FSP has met with several premium residential developers who have significant interest in building between 220 and 250 rentals or condos on our site and strong experience makes these developments. So where are we now? Our studies have shown that approximately 200,000 square feet of office would best serve the demand that we see in the marketplace. This could fluctuate upwards that seems about right at this time. We have begun discussions with one specific tenant interested in approximately 100,000 or half of the 200,000 square feet of contemplated space. It is still too early to tell whether or not this discussion will lead to a positive conclusion and so we are unwilling to speculate beyond that we are encouraged by the interest. Our work with our development team at Ryan Properties and Perkins and Will have indicated that depending on which scenario is selected costs could approximately roughly $325 to roughly $400 per square foot in total cost for the office portion to FSP or approximately $65 million to $80 million in very rough numbers. These are still preliminary and so please expect variance. More` specifically, this breaks down to roughly $325 per square foot or $65 million for our new six to eight storey Class Double A building that utilizes some aspects of the existing structure and is without any associated mixed use components. Or in the alternative approximately $80 million or $400 per square foot for approximately 10 storeys of office within a potential 45 storey mixed use development that would contain or could contain a four star full-service hotel at the base of approximately 200,000 square feet of Class Double A office space in the middle and 220 to 250 residential units in the top. Under the mixed use scenario, FSP would likely only invest into and own the office portion of the tower and respective hotel and residential groups would owned and fund their respective portions of the tower. Although the high rise mix use scenario would represent a higher total cost per square foot in the low rise office-only project, it is likely that FSP would receive cash and/or construction credits from its co-developer partners for the air rights/land contribution from FSP. Such credits would serve to adjust the $400 per square foot estimated cost to FSP downward. Additionally, a high rise mixed use project with office would also command a higher rental rate in return for superior use from the high and superior amenities. Conversations develop further. Now at this time, I’d like to turn the call over to Janet Notopoulos, our President of Asset and Property Management to discuss leasing.
Janet Notopoulos: Thank you, Jeff. I know there may be some questions about leasing and about our oil and gas exposure. So I’ll try to add some color to the fourth quarter’s leasing numbers then I’ll address the leasing progress at the Timberlake and St. Louis which has the RGA tenant and then, I’ll turn it over to Toby Daley, our Vice President and Regional Director for Houston to talk about the Houston portfolio. As we reported our lease occupancy declined from 93.4% at the end of the third quarter to 92.8% at the end of the fourth quarter, due to scheduled lease expirations and the exercise of early termination options. Lease expirations in 2014 including early terminations were rated towards the back half of the year, so we collected most of those termination payments in front half and we suffered the vacancy in the latter half including the fourth quarter. We’ve not leasehold that space back up yet, but will be completed that back in the latter half of the year. Most of the space we got back is desirable space that we expect to be able to lease back relatively quickly assuming the market stays the same and in most cases we expect to lease the space at the same or higher rent reflecting the increase in the market rents in our various markets. The existing vacancies are spread fairly evenly across our markets and roughly corresponds in the market as a percentage of the square feet in our portfolio. The 2015 scheduled lease expiration of spread in a similar fashion across our portfolio with the obvious exception of the RGA’s lease at the Timberlake properties at St. Louis. RGA’s lease expired at December 31 and it’s included in the square feet expired in 2015 in our lease maturity schedule. I just want to make sure that people understand it’s not the vacancy is in the 2015. Using rough math the RGA vacancy would reduce our occupancy by about 2% from 92.8% at the end of the year to around 90% during this first quarter. Depending on our leasing success throughout the portfolio we would expect that percentage to climb back up over the rest of the year. Obviously, any new acquisitions or dispositions as well as unexpected leasing events could change that. Now, let me give you some specifics about RGA in the Timberlake building. Let me start by saying that we are encouraged by the leasing activity at the project to-date. The Timberlake buildings are located right of Interstate 64 Highway 40, west of St. Louis. They have great visibility from the highway and one of the best locations for easy ingress from the highway. The project consisted three separate Class A buildings each containing approximately 116,000 square feet. The first two buildings were purchased in 2000 as the one project even though they are separate attached buildings. They show in our statistics as the Timberlake projects or just like Timberlake. The first of these buildings is multi-tenant in which – is the largest tenant. The second building was a 100% occupied by RGA Reinsurance and it’s now leased. The third building which we refer to as Timberlake East, or building three was purchased later and it’s multi-tenanted. RGA occupied approximately 81,000 square feet in that building who stay vacated at year end. AP Morey or - was the second largest tenant in building three and they vacated approximately 18,000 square feet at the end of their REIT in January. Our leasing strategy has been to market with third building to smaller prospects and to hold the second building for a single tenant user or larger user. So here is the good news. We are in lease negotiations with a tenant for approximately 43,000 square feet of the RGA space in building three or Timberlake East that would commence in the second quarter of 2015 and we would absorb over 50% of the phase RGA vacated in that building. If the tenant exercises its right of first offer, the lease could grow to 50,000 square feet. Timberlake two, the middle building is the only Class A building in the Highway 40 market with over 100,000 square feet of contagious space. The West St. Louis market is strong today and we think we are in the land rich market. In addition to the 43,000 square foot tenant that were in leases with, seven other prospects in need of 40,000 square feet or more to say has chose the building and three of them were full building users. All of the known large users in the market with a current need toured our building and we expect down the radar with any new ones that arrive. Up until RGA moved out it was difficult to show the state. But since they moved out in January, the leasing has picked up. We expect that once we announced the leasing of this new potential lease of over 40,000 square feet in one block of phase that momentum will increase and will drive other prospects to move more quickly. The rates that are being discussed are above the expiring rents and are in the general range of $24 to $26 per square foot with 50% in common size and location of the state. We are looking at a mix of 5 and 10 year leases. While nothing is guaranteed, we have to have a significant amount of the space in the multi-tenant building re-lease by the second half of the year and to have the larger building well leased by the end of the year or the beginning of 2016 depending on the size of the user. Turning to Houston and our exposure to oil and gas, let me refer you to our tenants by industry pie chart in the supplemental where we show that oil and gas tenants occupied approximately 15% of our leased space as of December 31. Of that 15%, five of our largest tenants that we disclosed in our supplemental comprise 10% of the portfolio for fee and 15% of our revenues. The rest of the tenants are spread among Houston, Dallas and Denver with the concentration not surprisingly in Houston. I will now turn it over to Toby Daley to give you more information on our Houston properties. Toby not only has managed our assets for many years, but also lived and worked in Houston in 80s servicing energy cycles there before.
Toby Daley : Thanks, Janet. Fortunately this cycle isn’t quite like what we saw back in the 80s. I’ll give you a brief overview and update on our Houston properties, and I just want to add that despite the recent decline in oil and prices and delivery of new office product, leasing activity and demand for office space in well-located Class A projects remains strong in the energy corridor and Westchase districts where FSP’s properties are located. While employment growth during 2015 is not expected to be as strong as 2014, the forecasted growth if it’s realized to generate positive absorption, but simply not at the pace that we’ve seen in recent years. For as long as this period of depressed oil prices and increased availability of office space persists, I expect that we’ll see longer downtime for vacant space and flat or if maybe even decreasing rental rates even in Houston’s strongest sub-markets. FSP’s Houston portfolio is approximately 1.2 million square feet and comprised of three Class A office projects the towers at Westchase, the offices at Park Ten in Eldridge Green. The towers at Westchase is a 630,000 square foot two tower office complex located at the intersection of Beltway 8 and Richmond Avenue in the heart of Houston’s West Chase district. The offices at Park Ten is a 310,000 square foot two building complex located directly on the KD Freeway at Park Ten Boulevard in Houston’s energy corridor. Eldridge Green also in the energy corridor is a 250,000 square foot corporate headquarters facility. FSP has a total of 61 tenants in Houston, averaging 18,000 square foot each. Of these 61 tenants, 15 are oil and gas related businesses. Only three leases in FSP’s Houston portfolio are larger than 60,000 square feet. These three largest leases are oil and gas related businesses. They are currently 18% to 22% below current market rents and they do not expire until 2017, 2019 and 2022. At year end, FSP’s Houston portfolio was 94% leased, down from 98% at year end 2013. During 2014, the towers at Westchase and Eldridge Green remains steady at 98% and 100% occupancy respectively. The offices at Park Ten dropped from a 100% to 82% occupancy due to two full floors becoming available during the year. When you approach a 100% occupancy, it’s difficult to accommodate growth of existing tenants which is why we did not retain one of the two tenants that vacated Park Ten during 2014. FSP started the year in Houston with a bit less than 2% vacancy, roughly 11% or 128,000 square feet of the portfolio was scheduled to expire during 2014. We finished the year with vacancy of approximately 6%, a substantial proportion that which became vacant in November. So the vacancy is relatively new to the market. During 2015, approximately 9% or 110,000 square feet of FSP’s Houston leases are scheduled to expire. Each of the 2015 lease expirations take place at the towers at Westchase complex. There is very good activity in terms of renewing expiring tenants as well as interest from new and existing tenants should any spaces be vacated upon a lease expiration. Expirations for 2016 amount to less than 50,000 square feet of 4% of the tenant base in Houston. Expiring rents during 2014 and 2015 range between 8% and 25% while current market rates. We believe that FSP’s portfolio in Houston will continue to perform well and that conditions presented by the current drop in oil prices may present more attractive acquisition opportunities than we have seen during the recent period of explosive growth. And I’ll turn it back to George.
George Carter: And we’ll open the call for any questions.
Operator: [Operator Instructions] And our first question is from Dave Rodgers of Robert W. Baird. Please go ahead.
Q –Stephen Dye: Thanks good morning. This is actually Stephen Dye here with Dave. I was just hoping to get a little more color on the acquisitions and particularly what gives you confidence that those in the pipeline will fit your criteria going forward and essentially the geographic dispersion of the properties? Thanks.
Jeffrey Carter: Hi, this is Jeff. I appreciate the question. What gives us confidence, we are working on a number of deals both on and off market where we feel like we are in a good position, but you never know until you know and especially on the marketed deals and so, we are actively working on a couple of deals right now that we feel like we have a reasonable chance of success on. The deals that we are looking at most actively are in the Atlanta and Dallas markets and we have a really good pipeline wide and large right now that would fit our criteria well. It’s within our parameters of underwriting and we’ll keep the market appraised of any success of the depending weeks and months and we do feel like we have a very reasonable chance of success on making some of these happen.
Q –Stephen Dye: Great, thanks, and then moving over to the RGA Insurance space, can you just talk a little bit about maybe the seven prospects that you have for the empty building and your hopes of either expanding that or cut-off tenants they represent?
Janet Notopoulos: They represent a broad spectrum of tenants and the St. Louis market is – as I said it’s strong right now, but it’s a small, I mean, it’s not like Houston with 30 tenants that would be looking. These are all pretty real prospects most of it’s organic growth where they maybe looking to consolidate operations. They just since going out of this space not unlike with what happened to RGA at our building, but, towards the space, they’ve been engaged in conversations with us over the past not necessarily a year but they’ve been waiting to deal with the RGA, would actually move out. So, as Jeff was saying about acquisitions, I mean, they all look real right now, but we never know. But we - they are now coming towards or coming back for a second towards, so we think there is either prospects there. And I think the St. Maryville sale may help us a little bit on that.
Jeffrey Carter: Steve, this is Jeff Carter again. Just as a follow-up on the acquisitions front, I just want to mention to you another reason although again as Janet mentioned no guarantee, some of the deals we are working on prior in existing relationships with some of the players that involve and that gives us some reasonable comfort that we have a solid shot of success, but again, until we know, we don’t know and so, I just want to add that component.
Q –Stephen Dye: Thanks and I guess, essentially that question is really trying to get out the difference between these opportunities versus any of that were too elevated to conform to your underwriting criteria in 2014, but I appreciate the color and anything else you can give would be great.
Jeffrey Carter: Sure, well I appreciate that. To give you a little bit more color, two of the deals that we are working on – out of the number of deals we are working on are in reasonable proximity to other properties we own. We understand the dynamics on the ground very well where these properties are located in addition to knowing ownership involved that have been blended this with ownership in the past. We have a very good hopes on market dynamics on the ground that are helping our underwriting.
Q –Stephen Dye: Great. That’s really helpful. I appreciate it.
Jeffrey Carter: Sure thing.
Operator: Our next question is from Tom Lesnick of Capital One Securities. Please go ahead.
Tom Lesnick : Hi, good morning guys. I appreciate the commentary on guidance one, I just had a couple of clarification questions. One, when you are talking guidance is being really kind of a static run rate, and I know RGA expired right at the end of the year, is that included in the guidance or is guidance really reflective of the full 4Q run rate?
Jeffrey Carter: That’s included, everything that is happened to-date is included in that guidance.
Tom Lesnick : Okay, thank you. And then, I guess, expanding on guidance for a little bit, again, maybe I misheard you earlier, but George, I think you said that, 2015 would be a stronger disposition year than acquisition year, but when talking in ranges, Jeff, I think you mentioned dispositions of between $150 million to $200 million and acquisitions of $150 million to 300 million. So I am just trying to kind of make sense to the comments, maybe I misheard it earlier, but could you talk a little bit about kind of your net acquisition expectations for 2015?
George Carter: Yes, this is George, Thomas. I may have misspoke, not may be misheard, but, no, we don’t think one side will be dramatically higher and then another side necessary. So we have disposition activity as Jeff has given you numbers on and properties that are in the market that are above those numbers is given. Again, unknown as to what will ultimately close but if you took all of those numbers that we are working on dispositions, you get to the $200 million mark that does not include any potential loan repayments on single-asset REITs that may get sold. So, that’s one unknown at this point, but just on property dispositions, sort of a high watermark there of about $200 million and on property acquisition opportunity a target of between $150 million and $300 million. So, the delta if we hit the high side of our target acquisition efforts between dispose of propertied, again not loan repayments and acquisitions will be about $100 million.
Tom Lesnick : Okay, appreciate that color. And then, Janet, I just wanted to talk about leasing a little bit. As you are leasing up the portfolio this year, obviously there is capital expenditure required with that. What are your expectations in terms of TIs per square foot and maybe perhaps talking about on a per year lease term basis, how do you expect that to really trend through 2015?
Janet Notopoulos: I wish that were simple questions to answer, I mean, we are in so many different markets that our costs are different around those markets, but I can tell you that we rarely have ever paid above markets for TI. And so a lot of it – if you look at our numbers that are shown in the supplemental and it’s a variance from approximate three years I was looking at and you can see that pretty much corresponds to some of the – now that the markets that were and with the type of leased. So, obviously, to the extent that we do a big space, a ten year term, this is going to be higher leasing commissions and perhaps higher TI. But the TI still vary from market-to-market. Toby could help me on you a little bit in Houston, but in Texas, I can say that the average – we wouldn’t want to go much above a $25 a square foot TI in a five to ten year lease. But in other markets it maybe more expensive we have a law firm that’s more expensive. So it’s going to vary around that, but maybe, Toby can give some color where exactly.
Toby Daley : Yes, Tom, right now in Houston for Class A space, if it’s second generation, you are looking at roughly $20 TI per square foot on a five year deal and maybe circa $35 a square foot on a 10 year deal. And of course for new space, the TIs are much higher. But that should give you a rough idea if you are modeling Houston.
Tom Lesnick : No, I appreciate that color. And Toby, I guess, one follow-up on Houston. Obviously, there is a lot of concern with the oil fell off and what not, but are you seeing any specific interest in tenant expansion or demand from say, the legal services side and in anticipation of perhaps a wave of M&A or something like that?
Toby Daley : I can’t say that I have, yes; there has been very little activity, at least in our portfolio from legal. So, not a whole lot of law firms in our energy corridor buildings and the Westchase buildings.
Tom Lesnick : Okay, I am sorry.
Janet Notopoulos: This is Janet, just to jump back in, if your question on TI leasing commissions is obviously going to be directed somewhat to the RGA, that vacancy, the market there is about $20 to $25 per square foot depending on the term and the space.
Tom Lesnick : Okay, great. Appreciate the color; I’ll hop back in the queue. Thanks.
Operator: The next question is from Craig Kucera of Wunderlich Securities. Please go ahead.
Craig Kucera: Yes, hi, good morning. Wanted to follow-up again on the guidance not to beat the dead horse but you’ve had a pretty significant drop in occupancy, you are at 94.5 in first quarter of last year now for your comments and what happened with RGA, we are somewhere in the 90s, what is baked into your guidance as far as occupancy on the store portfolio?
Janet Notopoulos: I think, it’s pretty much what I was saying before that if we drop into 90% in the first quarter, we would hope to get back up, we are obviously optimistic and will be back at 94% late year end, but we would certainly be moving towards that 92% to 94% at the back-end of the year.
Craig Kucera: So you are – and you are expecting some level of occupancy pick up this year in your guidance?
Janet Notopoulos: Yes, because as Toby and I was saying earlier, a lot of the space that we got back in this last quarter, or that we now have it’s some of our best space and that en we got caught forward, we expect to refill it.
Craig Kucera: Got it.
Janet Notopoulos: Well, that completely offsets whether it come to add us, I can’t tell you that, but we are pretty optimistic about doing some additional leasing.
Craig Kucera: Okay. And the assets that you sold in Colorado Springs, I have missed this, but did you guys put out what you – what cap rate that fall at?
Jeffrey Carter: Hi, Craig, Jeff Carter here. Yes, we mentioned on the color I mentioned in my report that that cap rate was an approximate 7.6.
Craig Kucera: Okay. And when you look – I think in the last call, you mentioned that your acquisition pipeline had a cap rate range, I think of 5.5 to 6.5 kind of first year going in, is that still, you got a larger pipeline today, but are those metrics still relatively the same on the pipeline as it is today?
Jeffrey Carter: In general, yes, but we are looking at a number of more value-add properties in addition to more stabilized, we are still looking at that range of both value-add that has real vacancy, 50%, 60% leased assets as well as more stabilized assets and so, I would say the floor on that range is lower. It’s probably more like 5% to 6.5%.
Craig Kucera: Okay, thanks. I’ll get back in queue. I appreciate it.
Jeffrey Carter: Thanks.
Operator: This concludes our question and answer session. I would now like to turn the conference back over to George Carter for any closing remarks.
George Carter: Well, thank you everyone for tuning into the call. This is a little longer one than we normally do and again a year-end call I think it makes a lot of sense. We are really excited about 2015 and look forward to talking to you next quarter. Thank you.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.